Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Lynas Rare Earth quarter results call.  And just please be advised that today's conference is being recorded. But without further ado, I will now hand the call over to Lynas Rare Earth. Thank  you, and please go ahead.
Jennifer Parker: Good morning, and welcome to the Lynas Rare Earths Investor Briefing for the June Quarter of FY 2021. Presenting the briefing today is Amanda Lacaze, CEO. And joining Amanda on the line are Gaudenz Sturzenegger, CFO; and Sarah Leonard, Company Secretary and General Counsel. Please go ahead, Amanda.
Amanda Lacaze: Thanks, Jen. Good morning, everybody, and thank you for joining us this morning for what is really one of the most pleasing quarterly reports that I've had the opportunity to present and really not a lot to add. But I would make a few comments. And the first is that it is always our #1 objective to ensure that we keep our people safe. And never has that been more challenging than in the environment at present in Malaysia, where pandemic conditions are real and very, very difficult for everybody. I'm not really big on using superlatives in a business sense. I've had too many ski instructors tell me that my turns are awesome when, in fact, I know that they're anything but. But in this instance, I can tell you that I do sit in awe of the determination, the discipline and the resilience of particularly our Lynas Malaysia leadership team and every single member of our Malaysian team. Within an environment where infections are incredibly high and restrictions on operations are very tight, our people have kept our people safe, kept our operations safe. The leadership team has adjusted to new SOPs issued by the government quickly and efficiently with some other challenges presented as a result of the pandemic.  We've talked previously about some of the logistical challenges, particularly related to shipping in Malaysia. We've had some issues also with water as pumps have failed.  And of course, some of the challenges around movement have made it difficult for the authorities to be able to address those. Despite all of these challenges, our team has managed to keep production at just above the 75% that we've maintained through the year and continued to implement a series of initiatives that will see us continue to improve our business and continued engagement as appropriate with regulatory authorities and also with our communities. One of our most recent initiatives with our communities is one that particularly appeals to me where we made up a series of care packs, and people in the company contributed to these as well as the company itself. They had a chicken, a bag of rice and some noodles. And now I've forgotten what the fourth ingredient was. But this has meant that we've been able to put a lot of these into our community to ensure that people in the community who truly are doing it tough in Malaysia are able to continue to feed themselves and their families. Our financial results really speak for themselves. We put sort of -- our operating cash result was really exceptional based upon record sales volume -- sorry, record sales revenue and, of course, an extraordinarily positive average selling price for our materials.
Operator:  Our first question today comes from the line of Jack Gabb.
Jack Gabb: Just a couple for me. Firstly, on pricing, you reported a nice pickup in average selling prices. And I realize some of that's down to NdPr. But just curious, were there much impact from a change in sales mix or notably higher realizations for SEG or cerium or lanthanum?
Amanda Lacaze: So yes, most of it was driven by NdPr, as you would expect. So SEG, yes, we have had some very good outcomes on that. And it's certainly one of the reasons why we've included now for some time in the quarterly report a view of dysprosium and terbium prices as well. So that's seeing strength in the SEG price, which has certainly been a great sort of underpinning to the improved prices on NdPr and is -- so it gives us more confidence. I've always been very confident but even more confidence in the strategic logic of separating our own Heavy Rare Earths. We are also doing more work on our geology and mine planning at Mt Weld to understand how we can best manage that resource, which, as you know, is unique because it is rich in heavy and in light -- well, rich in light and in heavy. And really, how do we modify our mine planning to ensure that we are able to optimize that? As well as that, the operating teams are doing a lot of work on understanding the way that the different elements deport through the process so that we are maximizing recoveries on the most valuable of the elements that we produce. In terms of the lanthanum and cerium materials, there's not been any significant shift in pricing. But certainly, demand has recovered. And so that's being sort of really a very good thing for us because as I've said previously, for every kilo of NdPr that we produce, we will produce a kilo of lanthanum and 2 kilos of cerium. And finding a home for that material is important.
Jack Gabb: Perfect. And then secondly, just on the PDF, you obviously outlined you're looking at a new site or potentially new site. Just curious what's driven the change? Are there any additional CapEx requirements? And I guess, lastly, is it feasible to permit this new location quickly enough to meet your 3 September deadline?
Amanda Lacaze: So Jack, it's a good question. I mean, we've always thought to assess a number of candidate sites. And in our discussions with government and regulatory authorities in Malaysia, we've always had more than one site for consideration. As you know, we always do things which are consistent with regulatory authority direction. And so coming up with a second site is really just a prudent risk management process for us to ensure that we have more than one opportunity where we have done sort of the detailed work on site characterization and other studies.
Jack Gabb: Okay. Perfect. So no need to extend the deadline, it's fair to say, at this point?
Amanda Lacaze: At this point, we're working with the authorities to understand exactly what needs to be done and also within the constraints of movement -- very restrictive movement control orders in Malaysia, including sort of across state borders and even into district at times. But we will, of course, disclose if there's any change to the current situation.
Jack Gabb: Perfect. And then just very last one for me. Very good to see your heavy submissions progressing. Just curious whether there are any evidence of we're closer to a magnet-maker solution in the U.S. and whether you're considering a role in that process.
Amanda Lacaze: Well, I think that the level of sophistication of understanding of the importance of the whole of the rare earths supply chain, including the downstream ecosystem, is really picking up both in the U.S. and also in Europe. And my -- we've always been confident that, particularly in the U.S., that there will be those who are prepared to step in and take up that part of the value chain. We have a large -- we have very large and loyal customers, and we would -- any change where we participate in the value chain would be done very carefully and will have significant consultation with our customers.
Operator: We've got another question from the line of Daniel Morgan.
Daniel Morgan: Amanda and team, just wanted to know given the strong financial results, good cash flow and the very strong and strengthening balance sheet, is there the potential for a maiden dividend to be considered?
Amanda Lacaze: I'm always thinking about maiden dividends, Daniel. It would be -- certainly, we see that this is an important part of meeting our shareholder needs. You would recall that we have certain constraints that were agreed to historically with respect to payment of dividends associated with our senior secured lender. We will need to resolve those. 
Daniel Morgan: Okay. And we've been hearing about a lot of cost inflation in the mining industry, particularly in WA as it pertains to labor and the impact of borders. Just wondering how you're managing this risk on the Kalgoorlie project. And I know that there isn't or hasn't been an update on the capital cost envelope of about $500 million.
Amanda Lacaze: Yes. There hasn't been an update. And as you know, Daniel, we are -- always disclose if there is anything material to disclose. And so therefore, you can assume that we're not saying that, that number has changed. We have a number of different strategies to address potential cost inflation, and we're seeing those actually work to -- work currently. And we're not seeing that we need to put additional risk mitigants in place just now. So we are working. We've actually -- and we have identified this in the report. We've released a lot of our packages of work. Almost all of our major equipment has been ordered and certainly, all -- sorry, all of the long lead-time equipment and more than half of our total equipment required. In addition to that, some of our major contracts relating to things like earthworks and civil works have also been completed. So we're seeing ourselves in a strong position working with, as we've identified right from the beginning, sort of local and midsized players who tend to be working very effectively in the current environment.
Daniel Morgan: And for the Heavy Rare Earths separation, your SEG product, just wondering if you could talk about the potential value uplift from separating it yourself, what proportion of the value you're getting now versus what you could get separating it yourself. Just wondering if you could talk about that revenue uplift.
Amanda Lacaze: It's a substantial uplift. We don't provide detailed P&Ls by product because we are a fully integrated sort of process. And so we won't be providing sort of a detailed P&L for the heavies. Internally, however, the way that we have done this is that we have looked at the difference between the margin, as you're implying, Daniel, the margin on SEG versus the margin that we'll get on the separated materials. And we expect it to be, as said, a significant uplift, which is the reason why it makes sense for us to do it.
Daniel Morgan: Okay. And just last question before I turn it to others. You're starting the next mining campaign again. Just wondering, is there anything in the ore body that you'll be mining that's different that might pose any challenges for recoveries or costs?
Amanda Lacaze: It's a very good question. And as we move through the ore body, of course, we see changes. One of the things that we're very alert to is increasing apatite ore within the mix. But we have done the test work. And part of the additional Stack Cell that we've put in place is to ensure as we move into additional parts of the ore body, we've actually got the flow sheet adjusted in a way that means that we will be able to maintain the high recovery rates that we've got at present. But it certainly is something which we're not just assuming that as we move through the ore body, everything's going to keep on working the same way that it does now. Our mineralogy team is really very focused on doing all of this test work, and we think we've got some good strategies for dealing with it.
Operator: Your next question comes from the line of Reg Spencer.
Reg Spencer: Amanda, just on the outlook, is it safe to presume that we should be assuming a 70% to 75% utilization rate until such time as those Malaysian COVID restrictions have loosened or lightened?
Amanda Lacaze: You know I don't do guidance because it's so very difficult. We started this quarter sort of with our tails up really thinking we'd be able to sort of switch things up if not sort of all the way, at least. We'd be able to get a bit of extra production out of the plant this quarter. And the result, as it stands, I think is just really excellent given the number of challenges that we've had. So we'll see is all I can say. Yesterday, there were 17,000 COVID cases in Malaysia. But just for Australians, in particular, worth stopping and pausing and thinking about. So we will not do anything which puts the health, in fact, the lives of our people at risk. But at present, the Malaysian team is really doing extraordinary things. The 40% head count constraint means that there are times when we have to prioritize maintenance over production. So for example, because we can't have sort of our maintenance people and contractor teams on site at the same time as our production teams will stay under that limit. Pahang has actually -- is in a much better position than some other parts of Malaysia, but we just remain alert and vigilant as far as this is concerned. But trust me, the team is pushing as hard as we possibly can within the constraints that we have.
Reg Spencer: Understood. Yes, I don't think anyone doubts the achievements of your team in Malaysia given the circumstances. Just shifting tack a little bit to CapEx. How should we think about CapEx during FY '22? Obviously, construction at Kalgoorlie is yet to commence in earnest. And I presume -- well, I suppose the time line is all dependent on getting final EPA approvals and so on and so forth. But should -- any guidance on that front, even though you've just said that you're not providing one?
Amanda Lacaze: Well, look, we've got that updated. I can tell you this time next year, I doubt that I will be presenting a report with nearly $700 million in cash at bank because we will have spent an awful lot of that. I know that a few of you wonder why we're not spending faster. It's not because the work is going slowly. It's because we are quite good at managing the way that we spend, and I don't see any good reason to spend early and often. I mean, the team negotiates good arrangements, good commercial arrangements with our suppliers, which meet their needs so that they're sort of keen to supply to us but, at the same time, meet our needs. But we would expect that the substantial portion of the 2 biggest projects, which is the Lynas Kalgoorlie and the PDF activities in Malaysia, that a substantial portion of each of those projects will be funded in the 2022 year.
Operator: Your next question comes from the line of Trent Allen.
Trent Allen: Congratulations on a great result. Now my question is just about the PDF again. I don't know if you can comment, but there was an article that appeared in Malaysia on the weekend saying that the second location that you mentioned is on an empty lot right next to the LAMP back in the industrial estate. So my first question is, is that article accurate? I don't know if you've seen it. It was on the Malaysiakini website. And secondly, it seems like a logical place to put the PDF. Why wasn't that the first choice anyway, just across the fence instead of some distance away?
Amanda Lacaze: Excellent questions, Trent. And you would see, no doubt, not surprised to know that, yes, we have seen what Malaysiakini has printed. Malaysiakini has a particular profile within Malaysia. In terms of why wasn't this on the list, I think that those who've covered us or followed us for some time will recall that even all the way back in, I think it was, 2015, the International Atomic Energy Agency sort of recommended that we should be investigating on-site options. As I said earlier, we've always had more than one option that we've presented to government and regulators. But ultimately, sort of what goes on the list for full investigation sits with the government in the first instance, the Pahang state government, to identify that it fits with their plan for management of residues of this sort and also that it is actually government land ultimately which is used for the -- this facility. So without going into chapter and verse, to and fro and all of those sorts of things, as I said, we've identified sort of up to half a dozen different places that we think would be suitable. And we just work through those on a -- with government and regulators and ensure that we do the work that they require us to do to sort of prove that those sites would be appropriate for the use for this activity. Yes.
Trent Allen: Yes. Sure. I have...
Amanda Lacaze: Was there -- did you have another question?
Trent Allen: You've -- so you've seen the article. It seemed to have some quite detailed images and such in it. Is that -- can you comment on its accuracy? Or is that not something you can talk about?
Amanda Lacaze: Look, I think what we're saying here is that we've identified the site. We're working with government and also with the regulators on the various studies that need to be complete. And Trent, you know sort of how much that is. It's radiation management plans, and it's an environmental impact assessment. And it's sort of we have to do soil testing and a whole variety of different things. The excellent thing is that we have 8 years of data for the material, which is stored in the temporary facilities at the LAMP. And so that facilitates sort of really our ability to be very sure about what the effect of storing there is. With respect to whether Malaysiakini gets things right or wrong, I'm not really going to comment on them.
Trent Allen: Yes. Sure. Well, I hope that is the new site and it's approved. It would be a lot easier, you would think, just to push things across the fence rather than truck them out to Bukit Ketam.
Amanda Lacaze: Sure. As a greenie, the idea of not having trucks going down -- we were looking at things, like would we be able to get electric trucks and those sorts of things? But still, not having trucks trundle down the highway would definitely meet my aspirations.
Operator: Your next question just comes from the line of Dylan Kelly.
Dylan Kelly: Amanda, pretty much all my questions have been answered. I've just got one final one. I wanted to clarify the impact to the workforce in Malaysia based on all this -- the current lockdown situation. You mentioned in the release that you're limiting the workforce to, what, 40% of what it's supposed to be. Is that -- I noticed that, that latest movement order started on, what, the 1st of June. Could you just clarify if that -- like how that's changed relative to the past and what portion of the workforce you used to be able to have in?
Amanda Lacaze: It's much tighter. We operated for some time at 60%. And there is a variation between daytime -- a number of LAMPs during the day versus on night shift. Of course, we have significant -- of our administrative staff on site in Kuantan, they're all working from home. And we just schedule very carefully, as I said, the other activity because I don't want everybody here thinking, "Oh gosh, we can produce at this rate with 40% of our head count. Team, we must have been sort of slacking off when we had 100%." That's not the case. I mean, what we do is we're quite -- we're very selective, and we do have to make choices some days between maintenance and production staff. Our people have been sort of flexible and responsive to that. In some instances, the movement control order has extended beyond sort of state -- prohibit state border crossings, which means some of our people who are sort of -- call them weekend spouses in Malaysia. So some of our people are not able to get home to see their families. But there's also even been some intradistrict. So these are the EMCOs, the Enhanced Movement Control Orders, which prohibit intradistrict travel. We've taken virtually the whole hotel and the local Balok Village and house our people there as required. It means that we can ensure that we're providing a hygienic environment, that we're able to implement sort of hygiene practices there that keep our people safe whilst at the same time complying with not having our people moving across districts. So that's sort of really -- it's a real-time management task. We have sort of morning calls where we look at what happened, what's happened in terms of any variation to standard operating procedures. And we ensure that we meet those absolutely. As indicated in the report, we are participating in the process -- the public/private vaccination process. I can tell you that last week, we had the  in operation. We've had -- about 60% of our staff have had their first vaccine, and we had a 99% turnout with the only ones who didn't turn up being those who'd already accessed the vaccine via other government means. So our people are limited. Our people are very alert. There have been times where people have -- one or other of our people have acquired COVID outside of the workplace. And because all of that, people live near each other, friends or otherwise, I think at its -- at the worst, we had 32 of our people that we actually had involuntary sort of isolation because we'd contact traced ourselves through our own process. And so they stayed at home until they were clear. So it's just a very active and daily management, but we do have to make choices.
Dylan Kelly: Okay. Fair enough. Just turning slightly to water supply. I mean, that's been a problem in the past. And you had several programs to mitigate that in the future. Any chance of disruption going on from here?
Amanda Lacaze: Look, we -- last time that this was such a big issue, we put in an additional storage pond. We've had -- we've also set up a process where we can extract water from the nearby disused bauxite pit. We've now also reactivated some of our water treatment processing plant so that it will allow us to treat some of that water for greater usage.  But certainly, one of the things that we're looking at as we continue to assess ways to improve our flow sheet is how to reduce water requirements with increased recycling and a number of other initiatives that we will announce as we prove them sort of at bench and plant scale. It's really disappointing that we've managed to get sort of quite an extended period of time as supply was pretty much on the ball. But once again, there's been equipment failures in the water -- in the public water processing system, which has resulted in this. And of course, it's harder for those equipment failures to be addressed with some of the movement control restrictions. But we're not sitting just waiting to be buffeted backwards and forwards on this. It is part of our weekly report is really our water initiatives, and these are good initiatives and applicable in every site that we have. I mean, in Australia, we also have water supply challenges because we're operating on a dry continent. So finding better flow sheets that see us recycling more water is good in an environmental sense, and it's good in a business sense. Now I've received a call from David Deckelbaum from the U.S. on the webcast, asking, "How does this design to refine carbonate at Kalgoorlie impact views on operating expenses or margins versus the initial flow sheet?" Well, it improves it is the reason. As we noted in our release last week, our objective with this new circuit is actually to improve the quality of the carbonate. Anytime that we improve purity, it's always better. So sort of always focusing upstream on producing the best possible feedstock for the next downstream process is really important. I think most people are alert to the fact that we are moving a significant part of our operations from a low-cost jurisdiction to a higher-cost jurisdiction. And so we are very focused on ensuring that we find compensating savings to compensate for those areas where we will not be able to avoid higher costs. For example, Australians get paid a lot more than Malaysians. And notwithstanding our conversation we've just had on water, water is more expensive in Australia than it is in Malaysia. So we are looking for ways to really compensate some of those costs.  And certainly, the carbonate -- the new carbonate refining circuit does give us some benefits there in terms of reduction of chemicals. But it's primarily a quality task.
Operator:  But we do have another telephone question, Amanda. I will next go to Michael Evans.
Michael Evans: Amanda, congratulations on a good quarter in what's clearly challenging conditions. Most of my questions have been answered. I wasn't sure I was still in the queue, but that's great. I mean, I was curious on how you're thinking about the full capacity of Lynas NEXT and making assumptions around how long the pandemic lasts. But I certainly don't want to labor that point. But clearly, it's not an issue of demand. With prices where they are, demand is very strong. And you can sell a lot more NdPr if you could produce it safely, I expect. I suppose leading on from that, you made a comment in the quarterly that some of the price rises in the first quarter were speculative, I think you used the word. Can you make any comment on the price at the moment? I mean, I can't figure them out. They go up, they go down. They look like they're going up again. I mean, what -- can you give us some insights from your customers on the sort of the price dynamics?
Amanda Lacaze: Yes. So -- see, I was about to say something about your comments on volume. But now it's just escaped me, unfortunately. But we are very focused on doing whatever we can to increase volume throughput because the market is strong. Demand is strong. The use of the word speculative is probably not that important other than the fact that, and you've followed us for long enough to know, that this is a market where there can be speculation being it's relatively small market, as that can at times sort of influence the prices. But on the other hand, I would say that what we're seeing is really sustained increase in demand. This is generally a time when we see a bit of a dip, and there's no good reason for seasonality. But there is a bit of seasonality, and we're not seeing any of that this year at all. In fact, demand is remaining really strong, if not increasing. So yes, we see the market pricing at times when you get sort of a sharp spike, you think of some months sort of having a bit of a punt. But generally, this sort of sustained increase in price does reflect a really sustained increase in demand. And so whilst I know that all of you and all of our shareholders would like us to produce more, our focus is really on making sure that we can meet our customer needs as well.  And so our customers are growing, and we need to be growing with them.
Michael Evans: That's helpful. And I suppose while I've got you on the topic, the word commodity is not one you like, I do know that.
Amanda Lacaze: I hate...
Michael Evans: The -- I mean, on that now, we've talked about it before for many years. But can you comment on -- here we are with these great prices, USD 60 plus. I know you've been through a lot longer periods with much lower prices. If -- your customers, your OEMs, et cetera, are they getting serious about locking in some prices now that they're getting serious about EVs and getting more confident on the outlook in that market? Can you lock in a meaningful proportion of your NdPr output? And where are those discussions at? Or I wouldn't want to say -- ask you that you've given up on them. I mean, that's something you'd never give up a bit to get some fixed pricing. It will totally change the dynamics of your sales profile going forward, right?
Amanda Lacaze: Sure. And once again, there's bit of a balance. I mean, how much do we fix and at what price can we fix it? And we go back to the idea that we really like to have a bit of a portfolio of prices so we get exposure to the upside, which, of course, brings exposure to downside as well on some of what we do. Right now, we don't have a lot of spare NdPr to be acquiring new contracts. The Japanese market is very robust. And so we have executed a couple of fixed-price contracts in the last 6 months, but it's not going to substantially move the dial until we are able to increase our output, which will allow us to pick up a couple of additional customers in those types of contracts that you're talking about.
Operator: And we just have a final question now from .
Unidentified Analyst: Amanda, it's Jay from Colorado.
Amanda Lacaze: Jay, how are you?
Unidentified Analyst: I'm doing very well. I'm just heading back into civilization. And I had a question. I read an article before I left at the Pentagon, for you Aussies, that's the U.S. military authority, that the Pentagon said that Lynas would be commanding about 25% of the world's output of REOs when the projects are completed. Can you comment if that's true? And it sounds like a pretty good number.
Amanda Lacaze: Well, our objective, Jay, is to at least add an extra 50% over and above the Lynas NEXT rates by 2025. But as we're looking at the market demand accelerating even faster than when we set that target a couple of years ago, we are looking at every option that we can to increase production. The 25% is just a function of seeing how fast the market grows and whether we can grow as fast as the market is growing. But we certainly think that we need to be in that sort of range to be a meaningful player in the global market.
Unidentified Analyst: Cool. Well, that sounds great. Great job, a really good quarter.
Amanda Lacaze: Thanks, Jay.
Operator: And with that, there's no further telephone questions. So for now, I'll hand back to Lynas Rare Earth.
Amanda Lacaze: Okay. Well, look, once again, thank you, everybody, for joining today. It really was a pleasure to be able to present such an excellent quarter. And I look forward to engaging with you all again when we release our annual results in about a month's time.
Operator: Ladies and gentlemen, that does conclude today's conference call. But once again, thank you all for participating today. But you may now all disconnect. Thank you.